Operator: Ladies and gentlemen, greetings, and welcome to the Quantum Corporation Third Quarter Fiscal 2026 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. It is now my pleasure to introduce your host, Quantum's Vice President, Corporate Affairs and Corporate Secretary, Tara Ilges. Please go ahead.
Tara Ilges: Good afternoon, and thank you for joining today's conference call to discuss Quantum's Third Quarter fiscal 2026 financial results. With me on today's call are Hugues Meyrath, Quantum's CEO; and William White, our Chief Financial Officer. Following management's prepared remarks, we will open the call to questions from analysts. Before we begin, I would like to remind you that comments made on today's call may include forward-looking statements. All statements other than statements of historical fact should be viewed as forward-looking, including any projections of revenue, margins, expenses, adjusted EBITDA, adjusted net income, cash flows or other financial, operational or performance topics. These statements involve known and unknown risks and uncertainties that we refer to as risk factors. Risk factors may cause our actual results to differ materially from our forecast. For more information, please refer to the detailed descriptions we provide about these and additional risk factors under the Risk Factors section in our 10-K and 10-Qs filed with the Securities and Exchange Commission. The company does not intend to update or alter forward-looking statements once they are issued, whether as a result of new information, future events or otherwise, except where required by applicable law. Please note that today's press release and management's statements during today's call will include certain financial information in GAAP and non-GAAP measures. We will include definitions and reconciliations of GAAP to non-GAAP items in our press release. With that, it's my pleasure to turn the call over to Quantum's CEO, Hugues Meyrath.
Hugues Meyrath: Thank you, Tara, and good afternoon, everyone. Thank you for joining us for our third quarter earnings call. As announced earlier this afternoon, revenue EBITDA exceeded the high end of our forecasted range. These results reflect our efforts to maintain disciplined execution of our strategy. Over the past two quarters, we've put a deliberate structure and focus in place to execute our operating plan. As a result, we've seen meaningful improvement in revenue, pipeline and backlog. We also continue to strengthen our financial foundation. Through restructuring initiatives, we've lowered our cost structure in support of our near-time goal of achieving positive cash flow. During the third quarter, shareholders approved a proposal to exchange the term debt held by Dialectic for convertible notes, reducing our outstanding term debt by approximately 50% to historically low levels. We continue to evaluate options for remaining term debt as we work towards further strengthening our balance sheet. To better frame up our results, let me first address the broader market environment and the conditions impacting infrastructure decisions across the industry. As AI use cases continue to accelerate, customers are feeling the real impact from cost, power, cooling and the volume of data that must be retained for the long term. At the same time, AI-driven demand is increasing pressure on global supply chains. Critical components, particularly memory, disk, and flash are becoming increasingly difficult to procure and prices are rising as a result. In just the last 10 days, we've seen pricing double and in some case triple. This is not unique to Quantum. It's affecting the entire industry. In addition to pricing volatility, lead times are extending into weeks and sometimes even months. Similar to the early COVID period, the timing and path to stabilization remain unpredictable. Against this backdrop, it's important to highlight that we delivered a strong Q3, and we believe we're off to a strong start to Q4. We are executing on our sales plan and have now delivered 2 consecutive quarters of healthy backlog. Early in Q4, we secured multiple million dollar purchase orders from enterprise and hyperscale customers, reinforcing the strength of demand for our solutions. That said, given the pricing dynamics and component availability, we're erring on the side of caution with our Q4 forecast. The uncertainty is not about the demand or our expectations for execution on our plan. It's about when we can fulfill and ship orders as supply chains continue to fluctuate. This is a prudent approach in an environment that is changing in real time. These conditions also reinforce where Quantum is uniquely advantaged. Tape is in Quantum's DNA. We are early inventors and long-standing innovators in tape with decades of engineering leadership and deep intellectual property. Quantum's Scalar tape libraries are designed to be modern, high-performance systems that deliver near-line accessibility for AI workloads. It also offers the lowest cost and lowest power consumption of any storage medium available. As flash and disk become more expensive and harder to secure, we believe tape provides customers with a practical way to offload massive volumes of data to a core tier, freeing up primary storage while meaningfully reducing power, cooling and operating costs. This is especially critical as customers retain more data than ever for AI compliance and long-term reuse. We are already seeing this shift clearly in our results. Our tape sales doubled quarter-over-quarter as customers pivoted toward architectures designed to reduce dependence on constrained components and deliver predictable economics at scale for warm and cold data. As a recent example, in Q3, we secured a 7-figure deal with a large multinational production studio, driven by cost, power efficiency, durability, and security of Quantum's cold storage architecture. The customer selected ActiveScale cold storage integrated with our Scalar tape libraries. This customer was able to repatriate content from the cloud to an on premise archive with predictable long-term economics while maintaining nearline access to archive data for AI-driven repurposing and reuse. The initial deployment is 100 petabytes with plans to scale to 400 petabytes over time. As the cost of flash and disk continues to rise and availability becomes more constrained, customers are increasingly looking for reliable, low-risk ways to move data off expensive primary storage without disruption. This is where Quantum StorNext creates a unique opportunity for us. StorNext is a leading data movement platform with thousands of customers worldwide. And like traditional data movers, StorNext can seamlessly and reliably migrate data from virtually any storage platform across vendors and architectures directly to tape. This allows customers to offload data from high-cost primary storage to tape with confidence and reclaim valuable capacity. It also allows customers to avoid continuously provisional additional primary storage amid rising prices and component shortages. Together, StorNext and Scalar tape enable customers to reduce their dependence on constrained components, lower costs and extend the life of their existing primary storage infrastructure. Given StorNext's proven reliability and broad installed base, we see this as a meaningful opportunity for incremental growth as customers reassess their storage strategies in today's market environment. We also continue to execute our broader go-to-market initiatives. We strategically realigned our North America sales model to mirror the successful approach used in EMEA, where we have seen strong results improving focus, coverage and execution. The alignment is driving tighter account prioritization, stronger coordination across sales, marketing and our channel partners and greater consistency in how we pursue and close opportunities. At the same time, our lead generation initiatives are gaining traction, delivering higher quality opportunities into the field and supporting pipeline growth. These efforts are resulting in larger, more strategic multiproduct opportunities as customers increasingly look for trusted partners to help them navigate cost pressure, supply constraints and also long-term data growth. We're seeing channel partners lean in more actively, particularly around tape and StorNext as customers reassess their storage infrastructures. Before turning the call over to review our financial results in greater detail, I'd like to take this time to welcome our newly appointed CFO, Will White, who's joining us on today's conference call. Will brings an exceptional combination of financial discipline, operational leadership, and strategic vision to help drive Quantum's execution in this next stage of our growth. I look forward to working more closely with Will for his contributions to our future financial strategy and operations. With that, I will now turn the call over to Will.
William White: Thank you, Hugues. Good afternoon to those joining us on the phone and webcast. I will provide an overview of the company's GAAP and non-GAAP financial results for our third fiscal quarter 2026 ended December 31, 2025. Revenue in the quarter was $74.6 million, an increase over the $62.7 million in the prior quarter and $68.7 million in the prior year third quarter. The higher-than-expected revenue was partially driven by strong backlog coming into the quarter as well as a strong shipment into the quarter end. The positive variance to the preliminary result was due to a conservative assumption related to deferred revenue contracts. We exited the third quarter with a strong backlog of over $20 million, which is significantly above our historical run rate of $8 million to $10 million. We expect backlog to remain meaningfully above our historical run rate in the fiscal fourth quarter, reflecting the continued success of our revitalized sales organization. GAAP gross margin for the third quarter was 38.8% compared to 37.6% in the prior quarter and 40.6% in the fiscal third quarter of 2025. Although we still have more work to do in order to expand gross margins back above 40%, the sequential increase in the third quarter reflects the initial improvement in operating efficiencies from our restructured service organization. As Hugues mentioned, we are also seeing volatility in pricing and component availability throughout the industry, which may be a headwind to our 40% margin target in near term. GAAP operating expenses for the third quarter were $30.1 million compared to $31.7 million in the prior quarter and $35.6 million in the year ago quarter. The increase in GAAP operating expense from our preliminary results announcement is due to additional provision for the outstanding receivable balance with Quantum Storage Asia, also known as QSA, following the termination of their distribution rights in fiscal Q2. We believe that this is prudent for our GAAP results. However, we are now seeking alternative measures to recover these balances to protect our customers' ability to make valid service and warranty claims. As mentioned in last quarter, QSA is not affiliated with Quantum and is not authorized to use our name or sell our products or support. Operating expenses on a non-GAAP basis for the third quarter were $26.9 million compared to $24.8 million in fiscal second quarter of 2026 and $30.1 million in the year ago quarter. The sequential increase preliminarily reflects higher variable sales and marketing expenses related to higher commissions. The year-over-year decrease reflects the realized savings from a lower cost structure following our more recent restructuring actions in the current fiscal year. GAAP net loss in the fiscal third quarter was $27.8 million or a loss of $2.03 per share compared to a net loss of $46.5 million or a loss of $3.49 per share in the previous quarter and a net loss of $75.3 million or a loss of $15.35 per share in the year ago third quarter. The current GAAP net loss includes $28.9 million in debt extinguishment costs related to the most recent amendment to our term loan in which we converted term debt for a senior secured convertible note. The convertible note was issued in exchange for $54.7 million of term debt and was recorded at a fair value of approximately $76 million. Each quarter, we will record an adjustment to the fair value for both the convertible note and the forbearance warrants, which will be largely driven by our stock price. This requirement will introduce some volatility into our GAAP earnings on a go-forward basis. Non-GAAP loss for the third quarter was $4.9 million or a loss of $0.36 per share compared to a net loss of $7.1 million or a loss of $0.54 per share in the prior quarter and a net loss of $7.8 million or a loss of $1.59 per share in the same quarter a year ago. The improvement in non-GAAP net loss for the quarter reflects a combination of the revenue increase in the quarter, combined with a significant reduction in operating expenses while we continue to bear approximately $5.9 million of interest expense. As we execute on our plan to further strengthen our balance sheet, we expect to benefit from reduced interest burden. Adjusted EBITDA for the third quarter improved sequentially and year-over-year to a positive $2.9 million from a positive $0.5 million in the fiscal second quarter of 2026 and $0.8 million in the prior year quarter. The significant improvement in adjusted EBITDA was primarily driven by the execution of our restructuring initiatives that significantly lowered our cost structure over the prior quarter. Turning to an overview of debt and liquidity at quarter end, cash, cash equivalents and restricted cash at the end of the fiscal third quarter were approximately $13.8 million. Total outstanding debt split between term debt and our convertible notes was $54.6 million and $75.9 million, respectively. At the end of the quarter, the company's net debt position was approximately $116.7 million. The significant decrease in our term debt reflected the successful completion of our strategic debt exchange in which we issued senior secured convertible notes to Dialectic in a dollar-for-dollar exchange for approximately $54.7 million of term debt previously held by Dialectic. Turning to the company's outlook for the fiscal fourth quarter of 2026. As Hugues discussed, we are erring on the side of caution with our Q4 forecast due to increasing difficulty in procuring critical components across the entire industry. It is not a question of demand or our ability to execute on our plan. It is about when we can fulfill and ship orders in a challenging supply chain environment. In light of the industry-wide supply chain challenges, revenue for the first quarter is expected to be approximately $68 million, plus or minus $2 million. We expect third quarter non-GAAP operating expenses to be approximately $27 million, plus or minus $2 million. As a result, non-GAAP adjusted net loss per share for the fiscal fourth quarter is anticipated to be negative $0.33, plus or minus $0.10 per share based on an estimated 15 million shares outstanding. Adjusted EBITDA for the fiscal fourth quarter is expected to be breakeven, plus or minus $2 million. With that, I now hand the call back to Hugues.
Hugues Meyrath: In closing, I'm pleased with the continued progress the team is making in our sales and operating initiatives as evidenced by our third quarter results. Our revitalized sales team is executing and delivering meaningful improvements to our pipeline and backlog with a growing number of multimillion-dollar deals. We've also significantly lowered our cost structure while further strengthening our balance sheet. We're cautiously navigating the industry-wide pricing dynamics and component shortages. And I believe Quantum is uniquely positioned with our portfolio of Scalar tape libraries, ActiveScale cold storage and StorNext platforms to reduce customers' dependence on constrained components and deliver predictable economics at scale for hot, warm, and cold data. With that, I'll now turn the call to the operator for the Q&A session.
Operator: [Operator Instructions] Our first question comes from the line of Eric Martinuzzi with Lake Street Capital Markets.
Eric Martinuzzi: Congrats on the good results for Q3 and on the healthy guide for Q4. I wanted to dive into the different product segments here just based on the 10-Q filing. It looks like there was good strength in secondary, but the primary systems were -- I hate to judge by one particular quarter, so I'll go with the 9-month contraction here. It looks like it was down about 23% in the 9 months versus 9 months a year ago. What's behind that? Typically, that would be a StorNext, it would be flash related. What can you tell us about the primary storage systems?
Hugues Meyrath: I would say we started the year probably very, very slow. And -- but going into fiscal Q3, we saw strength across all the product lines. So we feel confident right now that we're on a strong path for primary storage.
Eric Martinuzzi: Okay. And then as far as the backlog goes, you talked about, hey, it's elevated, it's $20 million when it typically runs $8 million to $10 million. The expectation that, that's going to stay high, is that driven more from the demand side? Or is that driven more from the lack of component availability side?
Hugues Meyrath: The demand continues to be very strong. In fact, we had a very healthy January as well. So we expect the backlog to be healthy going into our fiscal Q4, but it's -- both demand is very strong. We do have some shortages in components, but like it's -- the backlog is growing faster right now than anticipated for sure.
Eric Martinuzzi: Okay. And then the services business, we've been in contraction mode here for a while. It was down a little bit less in Q3 than it was for the 9-month period. Are we getting to a point where that could potentially flatten out here, and we're no longer seeing that contraction in services?
Hugues Meyrath: I would think so. I think we still struggle a little bit from an execution perspective in terms of getting the most of our services from customers. We tend to discount services too much on a blended basis, which is why we have kind of this SSP mechanism in place that we allocate. So I would think right now, it's more of our ability to execute a little bit better on services and not discount so much. That's more of an issue than the contraction. I think we got to do a better job there for sure.
Eric Martinuzzi: Okay. And then last question for me. You talked about gross margins being somewhat impacted by the price of the components that you need to acquire, but you still are looking at a 40% target. We've seen good progress throughout the year with the non-GAAP gross margins rising in Q3 versus Q2 and Q2 versus Q1. What should we expect for Q4 based on the product mix and the services mix that you're thinking about for Q4? Do we go up sequentially? Do we retrace based on mix?
Hugues Meyrath: I think this quarter is actually quite hard because the supply chain issues are hitting everybody in the industry like everybody, and it's pretty bad across the board from server delivery to memory to any storage that you're trying to acquire. The prices are going up. So when prices go up, by the time you turn it over to a quote and you try to build the product and ship the product, it's been very hectic environment. And there are a lot of examples in the industry that prove that that's an issue industry-wide. So it's really hard to guide to margin right now.
Eric Martinuzzi: Okay. So a conservative view would be to say equivalent would be a good achievement equivalent to Q3.
Hugues Meyrath: It would be -- yes, it would be a very good achievement if we could stay there and rising prices. And I mean, we're hearing examples of people literally like prices changing on the docks of some of our partners in the supply chain business until things are inventory flux. So it's quite a challenging environment right now from a pricing perspective and lead times are definitely stretching as well.
Operator: Our next question comes from the line of Nehal Chokshi with Northland Capital Markets.
Nehal Chokshi: Congrats on a good sustained demand here with the -- as evidenced by the elevated backlog. You made a comment, Hugues, that tape sales doubled Q-over-Q. Could you give some color here in terms of where that demand is coming from with respect to hyperscalers versus non-hyperscalers?
Hugues Meyrath: [indiscernible] is very strong across the board right now. But what we're seeing mostly from a growth perspective is people are just running out of storage. And with ActiveScale cold storage, they found a way for -- to keep storage on-prem for longer. So some of it, we see people that are migrating back from the cloud because they want to use data and ActiveScale cold storage allows them to use and reuse the data. We've seen some wins in the Fed space last quarter. So I mean, it's pretty much across the board. Hyperscalers also have capacity upgrades planned. Some of them are not realized yet. They're more coming as well. So I think in general, I'm very optimistic on tape because people are running out of storage, and I think that's creating a new wave of demand in additional to what we have today. So it's not just object store, but I think people are going to need to offload some of their primary storage data somewhere because clearly, the demand is way for storage, is way ahead of the supply right now.
Nehal Chokshi: Okay. And then you also mentioned that you have a growing number of multimillion dollar deals. Is that with respect to pipeline or in backlog?
Hugues Meyrath: It's -- we have a bunch of them in backlog, yes.
Nehal Chokshi: Okay. And can you give us a sense of the composition there, again, with respect to hyperscalers versus non-hyperscalers?
Hugues Meyrath: It is the multimillion dollar deal, like we're talking mainly -- I mean, we expect hyperscalers to be multimillion dollar deals than they are. So in general, what we're talking about there is our typical customers right now are adding more to their orders. So you can have a combination of StorNext and ActiveScale and cold storage and an order where we feel so people really building larger and larger like environments, especially with regards around like an i7, for example. So you can actually have good like AI content like around that solution with ActiveScale.
Nehal Chokshi: Okay. And you already talked about backlog levels. You said at the end of December quarter, it was already at [ $20 million ]. It's growing faster than anticipated. over the last 6 weeks, which then implies that it has gone up as the quarter has progressed. It sounds like it's a function of demand as well supply. But I guess we're trying to frame up though that demand is -- your core demand from the enterprises is up year-over-year and then also the hyperscalers are helping there as well. Is that a correct read-through on the description that you're giving here on backlog and the trajectory there?
Hugues Meyrath: Yes. It's -- January has been -- it's been strong Q3, but it's fiscal Q3, but January has been strong as well, and we don't fulfill as many orders in January. So the backlog keeps growing, but we'll probably exit next quarter with a much greater backlog as well as the number we guided to. So we're seeing strength across both enterprise and hyperscalers for sure.
Nehal Chokshi: At this point in time, do you see supply -- it sounds like you see supply actually worsening. So if demand continues to sustain at this current level, you would anticipate then that backlog would continue to grow from whatever level that it is right now?
Hugues Meyrath: At our guidance level, the backlog will grow, yes.
Nehal Chokshi: Okay. Last question for me is that -- you've been in the seat now for about 9 months, right? And I know that you've gone through a lot of restructuring, reorganization. But you have a really deep storage industry experience. And as a result, do you have some perspective as far as like what sort of long-term margin structure you can achieve?
Hugues Meyrath: Yes. I mean -- look, I mean, going back into the 40% long-term margin with the products we have right now on -- in our go-to-market we have right now is obviously possible. I mean I'm more concerned right now with the way the supply chain is working these days, it's -- you can go listen to anybody else. It's not clear how there will be relief from a supply perspective in the near term, right? So it feels like a COVID era right now. It's hard to get lead times. It's hard to get commit from suppliers. It's hard to get pricing from the suppliers, right? So right now, we're just trying to manage the business that's ahead of us and what we can get our hands on what the prices are and make sure we treat our customers and partners with the utmost respect, right? Now from a long-term perspective, I don't know when that is, but the supply chain needs to normalize. We'll get back into the 40s. I think we've done the restructuring needed to be in the 40% margin business and continue to improve it. But right now, it's kind of a little bit across the industry and charted territory from a pricing and lead time perspective. So -- but I think the restructuring is definitely paying dividends for sure.
Operator: There are no further questions at this time. And with that, this concludes today's webinar. You may disconnect your lines at this time. Thank you for your participation.